Operator: Good morning and welcome to the Veritex Holdings Fourth Quarter and Full Year 2024 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. Please note this event will be recorded. I will now turn the conference over to Will Holford with Veritex.
Will Holford: Thank you. Before we get started, I'd like to remind you that this presentation may include forward-looking statements and those statements are subject to risks and uncertainties that could cause actual and anticipated results to differ. The company undertakes no obligation to publicly revise any forward-looking statement. If you're logged into our webcast, please refer to our slide presentation, including our Safe Harbor statement beginning on Slide 2. For those on the phone, please note that the Safe Harbor statement and all presentations are available on our website, veritexbank.com. All comments made today are subject to that Safe Harbor statement. Some financial metrics discussed will be on a non-GAAP basis, which management believes better reflects the underlying core operating performance of the business. Please see the reconciliation of all discussed non-GAAP measures in our filed 8-K earnings release. Joining me on the call today are Malcolm Holland, our Chairman and CEO; Terry Earley, our Chief Financial Officer; and Curtis Anderson, our Chief Credit Officer. I'll now turn the call over to Malcolm.
Malcolm Holland: Thank you, Will. Good morning, everyone. Today, we'll review our fourth quarter and full year 2024 results. For the fourth quarter, we reported net operating profit of $29.8 million or $0.54 per share. Pre-tax pre-provision earnings were $41 million or 1.28%. NIM decreased during the quarter, but we anticipate to increase it from here, which Terry will cover in detail later in the call. For the full year 2024, we made operating earnings of $119.4 million or $2.17 per share, which was flat over 2023. As I've stated many times during 2024, we communicated our earnings would take a hit to transform our balance sheet. We feel very good about where our balance sheet currently stands and earnings will begin to increase from their current levels. We are laser-focused and committed to returning to return on average asset levels in excess of 1% in 2025 and beyond. Although the vast majority of the balance sheet work is completed, there are still opportunities for us to be more efficient with our liabilities through repricing and positioning of our funding. You saw some of this in the fourth quarter as our balance sheet decreased approximately $300 million, running-off some high-priced funding. We also saw a small decrease in our funded loans for the fourth quarter and year-over-year. We expect 2025 to be a positive loan growth year between low-to mid-single digits due to very high forecasted payoffs. The disciplined loan focus and new client acquisition has my undivided attention as well as our bankers. When I say discipline, I'm speaking about our ability to continue to be deposit-first focused with well-priced relationships that produce available funding and spreads that are accretive and profitable. I'm now going to turn the call over to Curtis Anderson, our Chief Credit Officer, to give you an update on our credit picture. I want to add that Curtis, and all his dedicated teams have done an incredible job in 2024, transforming our credit process, our credit priorities and our credit surveillance. As a result of their work, criticized loans have declined 20% over the last 12 months and including two large payoffs in the first two weeks of January, that percentage decline goes to 28%. The numbers speak for themselves, but the team's focus and execution has been quite frankly remarkable. More to do, but I'm super proud of the progress. I'll now turn the call over to Curtis.
Curtis Anderson: Thank you, Malcolm, and good morning all. We continue to realize positive momentum in credit through our focus on early identification of risk and balancing expediency with productive outcomes on problem loans. During the quarter, we foreclosed on an office property, which increased our NPAs from $67.3 million at third quarter end to $79.2 million at year-end. The property has significant interest from various potential buyers and it is currently under an LOI. Closing is expected in early second quarter with no loss. Charge-offs for the year are below previously provided guidance. Fourth quarter charge-offs are predominantly driven by a C&I relationship and a special-purpose CRE property. In general, our 2024 full year charge-offs reflect the impact of final resolutions on a number of loans in our drive-to-address velocity and throughput in managing credit risk. Past dues were generally in-line with prior quarters. The increase in 30 to 59 days past due category largely reflects relationships for which payments were slightly delayed and are now current and without underlying credit concerns. Moving to slide six. We are pleased with the continued progress in managing and reducing our criticized loans with strong end-to-end focus by our frontline, special assets, credit officer and loan servicing teammates. Criticized loans are down $100 million or nearly 20% year-over-year, and down $78.5 million from the third quarter due to improved borrower performance, re-financings and payoffs. Total CRE criticized loans are $228.5 million, down 35% from year-end 2023. Please note that the breakdown of CRE criticized by property type as now presented is accurate. This information is posted on our website. Finally, with respect to criticized loans, as Malcolm mentioned, certain closings and payoffs that we expected at year-end shifted to early January. These payoffs have further reduced criticized loans by approximately $50 million to $365.6 million. The related charge-offs for these resolutions are $1 million. There is significant risk management activity under the surface of these numbers. The portfolio is dynamic and the routines in-place to properly identify, grade and manage risk are robust. We continue to execute our credit improvement initiatives with much more work to be done, but our focus is there. I'll now turn the call over to Terry Earley, our Chief Financial Officer, to discuss our financial highlights.
Terry Earley: Thank you, Curtis. Starting on Page 7. When I look at the results for 2024, I'm encouraged. The balance sheet is in a good place. Liquidity is strong, reliance on wholesale funding is down 20% in the last year, capital and reserves are up and CRE concentration levels are within the regulatory guidelines. Moving to Page 8. The CET1 ratio expanded by 23 basis points during the quarter and by 80 basis-points year-over-year and now stands at 11.09%. Over the last two years, a significant contributor to the expansion in the capital ratios is attributed to approximately $750 million decline in risk-weighted assets. Tangible book value per share is at $21.61, down slightly from the third quarter of 2024 as the increase in AOCI and our quarterly dividend were offset by earnings. That's a 10.9% increase on a year-over-year basis, including the shareholder dividends. It's worth noting that since Veritex went public in 2014, its compound intangible book value per share at a rate of 11.1% including the dividends have been paid to shareholders. Finally, Veritex did not purchase any shares during the quarter. We have 93% of the authorized stock buyback program remaining and intend to be opportunistic in its use. On to Page 9. The allowance now sits at 118 basis points, up significantly in the last eight quarters as we've increased the reserve by almost 25% or $22 million. Additionally, when you exclude the mortgage warehouse, the ACL coverage rises to 125 basis points. Our general reserves comprise 97% of the total allowance. We continue to use conservative economic assumptions in our credit loss modeling with 65% of the weighting on downside scenarios. In prior quarters, it was 75% on the downside. This change seems appropriate, given the change in administration, business optimism, strength in GDP, et cetera. The quarter-over-quarter decline in the absolute dollar amount of reserves makes sense when you look at the decline in loan outstandings, the improvement in our credit risk profile and the level of business optimism. Moving to Page 10. Total loans declined 1.2% during Q4 and 0.7% on a year-over-year basis. We made significant progress in reducing our CRE and ADC concentrations and ended the quarter at 299% and 87% respectively. The significant decline in ADC can be seen in the top-right graph and has been largely offset with growth in multifamily and mortgage warehouse. The CRE maturity profile is shown in the bottom-right graphs. We have just under $400 million in fixed rate maturities at an average rate of 5.48% over the next four quarters. As shown on the bottom-left, loan production increased 44% from 2023 to 2024, but loan payoffs remain elevated at almost $1.4 billion. We're projecting payoffs to be even higher in 2025. This payoff activity reflects the vibrant economic activity in the Texas market, but it does make organic loan growth challenging. Slide 11 provides the detail of the term CRE and ADC portfolios by asset class, including what is out of state. It also shows a breakdown of our out of state loan portfolio, including the significant impact of our national businesses and mortgage. The true percentage of the out of state portfolio is only 11%. This is predominantly where we have followed Texas real estate clients to other geographies. On Page 12, our strong deposit growth and low loan growth has allowed Veritex to reduce its loan-to-deposit ratio from 104% to 89% over the past two years. We intend to remain below 90% going forward. Please note, the loan-to-deposit ratio would be just under 83% if you excluded mortgage warehouse. This seems to be the more relevant metric when you consider the short amount of time mortgages stay on the warehouse lines. The deposit growth also allowed us to reduce our wholesale funding reliance to 16.6%, 24% over the same two year period. As you can see in the bottom left graph, we've kept the time deposit portfolio short and have $2.3 billion in CD maturities over the next two quarters with an average rate of 4.95%. Glad to have this maturity profile given the Fed cuts that have occurred and the potential for more in 2025. On the bottom right, we show the monthly cost of total deposits. Note the 39 basis point decline since the month of June. Veritex has done a good job in preparing for and executing on deposit pricing in a falling rate environment. The Fed cut rates by 100 basis points in the last two quarters of the year and our interest-bearing transaction accounts declined by 80 basis points from June 30th to December 31st, and 80% beta. Similarly, total interest-bearing deposit accounts declined by 66 basis points from the end of Q2 to the end of Q4. 2024 was a successful year in deposits with all our growth coming from our core lines of business. These deposits carrying an interest cost is approximately 170 basis points below our other more expensive funding options. In Q4, this allowed us to reduce brokered CDs by $254 million, public funds by $233 million and 2x the decline with over $100 million in deposits, which carried the highest rate in the entire bank. The remixing of deposits is a key strategic priority as we go through 2025 and beyond. On Slide 13, net interest income decreased by $4 million in Q4, positively impacting the results with lower deposit yields, improved deposit mix and higher debt securities volumes and yields. These were offset by lower floating rate asset yields, lower average loan volume and interest reversals on problem loans. The net interest margin decreased 10 basis points from Q3 to 3.20%. As you look at our interest rate sensitivity, note that our down 100 basis point rate shock is at 2.55%, down from 4.16% over the last year, a 39% improvement as we work to make the Veritex balance sheet more rate neutral. We believe the NIM has troughed in Q4 and should be in the range of 3.25% to 3.30% in Q1, assuming no Fed cuts during the quarter. Keep in mind the following three things. One, the repayment of the $75 million in sub-debt in February of 2025, which is accruing in SOFR plus 347 basis points. We filed an 8-K, but should have also called it out in the earnings release. Restructuring of the investment portfolio in Q4 and the time lag on the repricing of the time deposits. Slide 14 shows certain metrics on our investment portfolio. The key takeaways. It's only 11.6% of assets, the duration is 3.6 years and 88% of the portfolio is held in AFS. Finally, on this slide, you see a snapshot of our securities loss trade completed in the fourth quarter. The yield pickup on $189 million of traded volume is 178 basis points and the earn-back of the loss will be just under 1.4 years. Slide 15. Operating non-interest income increased $1.3 million to $14.5 million. The increase was driven by the best quarter of the year in our government guaranteed loan business, partially offset by lower loan fees and lower OREO rental income. The $1 million increase in operating expenses for the quarter was a function of higher professional and regulatory fees and data processing and software. Recognizing the need to improve our operating leverage and efficiency, Veritex in the second quarter engaged with a national consulting firm with extensive banking expertise to look at all aspects of the company. This review has consisted of staffing, operational processes and technology. We've already realized a 19% reduction in certain technology vendor contracts. Other key contracts are in scope for renewal in 2025 and beyond. Two other areas where we benchmark poorly include treasury management and commercial banking. We've engaged the firm to help us review our treasury management product line and pricing structure and to help us complete the total commercial lending business model review. To wrap up my comments, I see a lot of positives. The balance sheet is in a much stronger position with excess liquidity, lower CRE and ADC concentrations, higher capital and improved credit metrics. We have reduced reliance on unattractively priced deposits. Our teams are stronger in almost every area of the bank and we're in great markets, DFW and Houston and it's hard to do better than that. Also, there's still things we need to work on though, continuing the trend and improving the credit risk profile, remixing the deposit portfolio and disciplined loan growth and continuing to build-out our fee businesses with growth expected in deposit fees, card revenue, customer swaps and government guaranteed income. It's our expectation that 2025 will produce positive operating leverage. This will be driven by an improved NIM, positive loan growth and stronger fee revenues, partially offset by moderate expense growth. Operator, we'll now take questions.
Operator: Thank you. [Operator instructions] The first question for today will be coming from the line of Stephen Scouten of Piper Sandler. Your line is open.
Stephen Scouten: Hey, thank you. Good morning, everyone. Malcolm, I think you said in the release, obviously that 2025 will be more about back to growing profitability. I think you said earlier here, the target being 1% ROA. I think I heard you say in 2025 and beyond. So just kind of wanted to confirm how you're thinking about reaching that 1% ROA and kind of the potential timing there? And then what do you think the biggest driver of that profitability improvement will be in the year ahead or biggest drivers if there's multiple?
Malcolm Holland: Yes. So, yes, you heard me correct. We do believe it's 2025. Q3 is probably a good quarter to hit that number. The drivers of that's going to be loan growth and repricing on the deposit side. We continue to see some good movement there. The headwind that we both, Terry and I both mentioned was just the payoff number. If you recall, we had such strong growth back in '21-'22 that now those are coming matured and those payoffs are coming. We're not going to go back to the 320% range on CRE and so there should be more reliance on the C&I side. But with the staff we have and what Dom is doing on that side of the business, we feel really, really good about where we're headed. It is -- your opening comment was right. I mean, Veritex has been a growth story for most of its career. Obviously, we spent two years remixing this and that -- and redoing the balance sheet. We feel like that work is done and we can really focus on what we do best. And so I'm very encouraged and think that we can get there. But Q3 is probably the first quarter you're going to see it and hope to be high enough to where the year average will be around one.
Terry Earley: Yes, Stephen, Terry. Let me jump in. Fees are going to be more important to us this year than they've ever been. That's why you heard me say, as I was wrapping up my comments, is we're going to continue to build-out our fee businesses, whether its deposit fees, treasury management fees, card revenue, customer swaps, government guaranteed, it's going to be a significant contributor for us. And so I agree with everything Malcolm said. I just didn't want you to lose sight of how important the fee businesses are for us in 2025.
Malcolm Holland: Which has actually gotten off to a pretty good start with two really nice relationships on the fee side that we've already flowed. So hope that helps answer the question.
Stephen Scouten: It does for sure. I appreciate that. And then kind of on the loan growth front, I mean, obviously, as you said, you're facing a pretty big headwind still from some payoffs. That's understandable and probably beneficial to the balance sheet. But what are you seeing so far in terms of any inflections from your customers in terms of pipeline growth ex the CRE book or kind of what gives you confidence, whether it's mortgage, warehouse or other that you can see that inflection kind of towards the back half of the year?
Terry Earley: Yes. I mean, actually the production side of our business has been really strong. The pipelines are as strong as they've ever been. I had a director ask me about, well, how much real estate activity is really going on? Well, I can tell you in the State of Texas, it's pretty strong. And the underwriting is continued to be pretty stringent on the bank side. I mean we're seeing deals with 45% equity in them, pretty regular. Now as most things go as competitive juices get flowing, you're going to see that 45% going to 40% and probably get to 35%. Now we're not going to dumb down our credit underwriting, but the activity is still very, very stout. I mean we have to do to call it, $1.4 billion in new loans on the real estate side this year just to stay even. And we feel pretty confident we'll be able to do that.
Malcolm Holland: Yeah, I'm sorry.
Terry Earley: Go ahead. You want to jump in?
Malcolm Holland: I'm going jump in again.
Terry Earley: Jump in.
Malcolm Holland: There's a lot of strength, Stephen, in the fourth quarter on the production side. If you annualize Q4 loan production, it's 50% bigger than the full year. But some of that's been in the ADC side, which does start to fund up for six months, nine months. So we can see that it's coming, but we are still going to have that. So that's why we're seeing it because the Q4 production was way stronger than the first three quarters of the year. And pipelines continue to build, so anyway.
Stephen Scouten: Yes. No, that's great color. And then just last thing from me. On the $1.5 billion in maturing CDs in the first quarter, I think they were a little over 5.02% on the average. What do you think you'll be able to put those back on the books at and what would you think is like a viable retention rate of those customers as you lower those rates?
Terry Earley: I'm going to let Will take that question.
Will Holford: Hi, Stephen. Thanks, Terry. Yes. So far in Q1 2025, we've been putting on new CDs at 4.24% rate. And we've seen -- we've experienced really good retention. Some of that -- we're seeing some migration out of CDs in the money market and other products, but in terms of overall retention that remains flat.
Stephen Scouten: Great. Extremely helpful. I will jump back in the queue. Thanks so much.
Terry Earley: Thank you, Stephen.
Operator: Thank you. One moment for the next question. And the next question will be coming from the line of Matt Olney of Stephens. Your line is open.
Matt Olney: Hey, thanks. Good morning. On the comment about positive operating leverage for 2025, I think you mentioned expect moderate expense growth. Just any more color about that expenses for 2025?
Terry Earley: Low to mid-single-digits.
Matt Olney: Okay. And then going back to the loan growth comment.
Terry Earley: I'm just going to say if you get some disciplined loan growth, some NIM expansion and good fee execution, feel good about the opportunity to really get to positive operating leverage with that type of expense growth.
Matt Olney: Got it. Okay. And then on the -- going back to the loan growth discussion, I think you mentioned the paydowns obviously severe in 2024. It sounds like that will continue for at least for a portion of 2025. Just any more color on when you think that could inflect or at least slowdown to allow the net loan balance to start to grow throughout the year?
Malcolm Holland: Our projections or our forecast right now look like the heaviest piece of those payoffs come in the back half of the year. But again, those are -- payoffs are a little bit harder to predict. But actually we've done a pretty good job at that. I see the first quarter, it's going to be pretty stable at best. And then with these pipelines that Terry just discussed, I do see some of that to start to fund up. I see our commercial business is starting to get stronger on the pipeline side. So I expect that we're going to start seeing some growth in the second quarter, but overall, Matt, I think it's probably going to be a low to single middle digits probably for the year, but again, hard to predict where all those pay-offs are coming, but they're coming.
Terry Earley: And that's assuming nothing really -- if anything were to really happen significant with the Fed and rates that especially long-term rates fail, it could accelerate that.
Malcolm Holland: It could.
Terry Earley: But we don't expect that. I'm saying that's the wildcard really.
Malcolm Holland: Yeah.
Terry Earley: You don't know.
Malcolm Holland: Yeah.
Matt Olney: Okay. All right, guys. Thanks for your help.
Malcolm Holland: Thanks, Matt.
Terry Earley: Thanks, Matt.
Operator: Thank you. One moment for the next question. And our next question will be coming from the line of Mark Shutley of KBW. Your line is open.
Mark Shutley: Hey, good morning.
Malcolm Holland: Good morning.
Mark Shutley: So on the deposit side, like you said, there was some good funding remix cut-out of CDs, but there's also a non-interest-bearing decline in the quarter. And I was wondering if you could kind of talk about the dynamics at play there and where you think that non-interest-bearing kind of settles out for the quarter?
Will Holford: Sure, yeah. This is Will. Thanks for the question. Look, this quarter, we had some seasonal fluctuations of tax and insurance payments from mortgage escrow accounts. We also exited an expensive ECR deposit relationship that was paying around Fed funds, that was intentional. So when you look at our non-interest bearing on some of those escrow accounts, we do pay an ECR which doesn't flow through the deposit cost line item. And so this was planned, this was anticipated and in several facets that actually improves our earnings. And so seasonality, where do I expect it? It will build back up in range between 21% and 23% for the rest of the year.
Mark Shutley: Okay. Thanks. That's helpful. And then maybe switching over to the government guaranteed side. Obviously, that was really strong this quarter. I know that business is kind of lumpy and can be difficult to project, but is there any additional color you can give to sort of help us model that in 2025?
Terry Earley: I'll just make two comments. One, well, three. We're off to a good start in '25. Two premiums are holding in very, very well. And three, our pipelines and business production is strongest they've ever been, especially in the SBA space. We talked about how we're trying to rebalance and almost reinvent the USDA business, but overall, we're really encouraged by what we're seeing. The team is doing a great job and so we're pretty bullish.
Mark Shutley: Great. Well, that's it from me. Thanks for taking my question.
Malcolm Holland: Thank you.
Terry Earley: Thank you.
Operator: Thank you. One moment for the next question. And the next question will be coming from the line of Tim Mitchell of Raymond James. Your line is open.
Tim Mitchell: Hey, good morning guys.
Malcolm Holland: Good Morning.
Tim Mitchell: I want to start on credit. It's nice to see the continued improvement in criticized and special mention, but looks like there was some migration into NPAs. Just how you're thinking about credit moving forward and what should we kind of expect for a net charge-off ratio in 2025?
Malcolm Holland: Yes. I mean, listen, I think we did a decent job in managing a bunch of stuff out and took a charge here or there to help assist in that. We did, I think, 21 basis points in charge-offs for '24. We expect to probably be in that range for '25. It could be a little better, it could be a little bit worse, but that's a pretty good range, about 20 bps going forward. But overall, I mean, you brought up the credit piece and just what Curtis and his teams have done at moving this stuff out has been incredible. And there's still some more movement to do. Recall, we only got this job back in March of last year. So in a fairly short order, we've moved into a good place. So the good news is we've kind of gotten rid of the surprises and we know what's coming down the pipe and we're managing it much earlier than we've ever had before. So, again, we're very confident that credit continues to get better going forward.
Tim Mitchell: Awesome. And then back to the margin, I think you said 3.25% to 3.30% here in the first quarter. I understand the bulk of that CD maturity is in the first-quarter, but there's still some opportunity past it, I mean, assuming rates are relatively stable, is it fair to assume the margin can continue to grind a little higher kind of through the rest of the year?
Will Holford: Yes. I think given no more rate changes, I think we will see continued expansion. We do have a hedge that matures at the end of Q1, that's on $250 million of our money market accounts at 42 basis points. So there will be a little bit of a headwind from that, but we expect the things that Terry mentioned with sub-debt rolling-off with what we've done on the securities portfolio and continued improvement on the deposit side to drive positive NIM for the whole year.
Tim Mitchell: Awesome. All right. Well, thanks for taking my questions.
Malcolm Holland: Thank you.
Operator: Thank you. One moment for the next question please. And the next question will be coming from the line of Ahmad Hasan of D.A. Davidson. Your line is open.
Ahmad Hasan: Hey, good morning, guys. Ahmad Hasan on for Gary Tenner. I appreciate the December deposit cost detail. Can you provide a spot rate as of 12/31?
Malcolm Holland: Yes. Spot rate for deposits as of 12/31 is interest-bearing $3.99 and for total $3.19.
Ahmad Hasan: I appreciate that. And on the slide 11, how much of the $820 million out of state balance is ADC versus CRE? And any geographic concentration there?
Terry Earley: The out of states up there, it's the $820 million of the $1.61 billion, so it's 80% of it, give or take. Those particular state concentration that I'm aware of and we've not been made -- we're not aware of any issues with respect to California or is it correct.
Malcolm Holland: Correct. That's correct.
Ahmad Hasan: All right. That sounds good. And great to see the SBA and USDA loan pickup, the gain on sale pickup there. Any thoughts around that business line heading into 2025?
Terry Earley: Nothing better than what I've already said. Very positive, lots of momentum going forward.
Malcolm Holland: We've combined the two businesses, so they're feeding-off of each other. Again, premiums are holding in there. Pipelines are super strong. So we're pretty bullish on 2025 on those government guaranteed business.
Terry Earley: But to the extent it's USDA, it will be lumpy. So, yeah, but for the year and that's the way we tend to think about this business is the full year. Don't get frustrated with the lumpiness when it's a USDA trade.
Ahmad Hasan: All right. That makes sense. Thank you for taking my questions.
Operator: Thank you. And that does conclude today's Q&A session. I would like to go ahead and turn the call over to Malcolm for closing remarks.
Malcolm Holland: Yes, ma'am. Thank you. Sorry, Lisa.
Operator: No problem. You can go ahead with your closing remarks.
Malcolm Holland: Yes, ma'am. Thank you. So I want to close today with a management update. Six years ago, we closed the Green Bank transaction and at the time, we're blessed to have Terry Earley become our Chief Financial Officer. Terry has been the ultimate team player and partner to me and the entire Veritex family. His knowledge, expertise, counsel and wisdom to our company cannot be measured. Best said, he just made us a better bank. Terry will be retiring this summer on June 30th, but he will not be leaving us entirely. He will become a part of our Bank Board as well as entering in a consulting agreement assisting in the finance area and assisting in the transition. Our new CFO will be Will Holford, who many of you already know. Will has been with Veritex for 13 years, serving in all areas of finance. We are very excited for both Terry and Will in their new roles. Thanks for your time today and we look forward to speaking to you soon.
Operator: Thank you all for joining today's conference call. This does conclude today's meeting. You all may disconnect.